Operator: Greetings, and welcome to the QIWI First Quarter 2014 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Yakov Barinskiy, Investor Relations for QIWI. Please go ahead, sir. 
Yakov Barinskiy: Thank you, operator, and good morning, everyone. And welcome to the QIWI First Quarter Earnings Call. I'm Yakov Barinskiy, Head of Investor Relations. And with me today are Sergey Solonin, our Chief Executive Officer; and Alexander Karavaev, our Chief Financial Officer. 
 A replay of this call will be available until Wednesday, May 28, 2014. Access information for the replay is listed in today's earnings press release, which is available on our Investor Relations website at investor.qiwi.com. For those listening to the replay, this call was held and recorded on May 21, 2014. 
 Before we begin, I would like to remind everyone that this call may contain forward-looking statements, as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations of future performance are subject to known and unknown risks and uncertainties. QIWI cautions that these statements are not guarantees of future performance. All forward-looking statements made today reflect our current expectations only, and we undertake no obligation to update any statement to reflect the events that occur after this call. Please refer to the company's most recent annual report on Form 20-F filed with the Securities and Exchange Commission for factors that could cause our actual results to differ materially from any forward-looking statements. 
 During today's call, management will provide certain information that will constitute non-IFRS financial measures such as total adjusted net revenue, payment-adjusted net revenue, other adjusted net revenue, adjusted EBITDA, adjusted net profit and adjusted net profit per share. Reconciliations to IFRS measures and certain additional information are also included in today's earnings press release. 
 With that, we'll begin by turning the call over to Sergey Solonin, our Chief Executive Officer. 
Sergey Solonin: Thank you, Yakov, and good morning, everyone. Thanks for joining us on today's call. We had a strong start of the year and are well positioned to deliver our targets. Our continued strong financial results demonstrate our commitment to execution, our ability to ensure and our focus on delivering best-in-class services to our customers, merchants and partners.
 As you saw in our earnings release, beginning this quarter, we changed the way we report adjusted net revenue and payment volumes. We believe this method of reporting will provide you with the best understanding of QIWI and our underlying growth drivers, while at the same time, it brings our reporting methodology in line with the way we track our own business. Alexander will take you through this in more detail in a few moments. 
 Turning to our financial results. Total adjusted net revenue increased 46% to nearly RUB 1.9 billion in the first quarter. Payment adjusted net revenue was up 51%, driven by strong payment volume and net revenue yield growth in our E-commerce, Financial Services and Money Remittances verticals. 
 Other adjusted revenue was up 34%, and we are pleased with this solid performance, even though growth in this segment was again affected by a decline in advertising revenue. 
 As I discussed with you in March, we expect to launch new advertising products this year, which will help to compensate for the outlook [ph] advertising declines we experienced in the second half of the year, resulting from a change in the consumer banking landscape. 
 Adjusted EBITDA grew at strong 75% in the quarter, reflecting top line growth and continued operating leverage in our business and adjusted net profit grew 72%. 
 In the first quarter, total payment postings grew a solid 20% to approximately RUB 150 billion. Active Visa Wallet accounts also grew 20% compared to the first quarter of 2013, to reach 15.6 million in total active accounts on the annual basis, reflecting continued strong secular growth trends in our market and the value of our unique network. 
 Now I would like to take a minute to give you a brief update on the antiterrorism legislation that we discussed a few weeks ago. The law has been finally adopted and came into force in May 15. 
 As I discussed with you back in April, this law include no limits on consumer-to-business outright payment transactions in Russia whatsoever. It does prohibit unidentified peer-to-peer money transfer and unidentified cross-border payment. However, we continue to expect that this law will have little or no impact on our business. 
 First of all, because we do not charge our consumers for peer-to-peer money transfer; and second, we've started several initiatives to all our consumers to identify themselves in fast and easy manner. A few of those initiatives were already implemented and we will keep you updated on this progress in this area. 
 Finally, I would like to address the recent law passed to create a national card processing system, which is intended to ultimately establish infrastructure for the launch of the national payment system in Russia. The detailed analysis of the impact of that loan-to-payment landscape in Russia is yet to be completed, though our initial understanding is that this law will have no or little impact on our current business model in Russia. 
 We will continue to assess any potential consequences of this law and as the leading provider of next-generation payment services in Russia, we are open to building relationships with new payment networks. 
 I will now turn the call over to Alexander, who will take you through our financial results in more detail. Alexander? 
Alexander Karavaev: Thank you, Sergey, and good morning, everyone. As Sergey just discussed, we delivered strong financial and operating performance in the first quarter. 
 Now before going to our results in more detail, I would like to take a minute to discuss with you the changes we've made into the way we report both our adjusted net revenue and payment volume data. 
 Beginning in the first quarter and going forward, we will report adjusted net revenue by 2 primary categories: Payment adjusted net revenue and other adjusted net revenues. 
 Payment adjusted net revenue is the revenue we generate from our customers and merchants when they make or receive payments utilizing our integrated network. 
 We will fill the segment payment adjusted net trading by the following categories or payment verticals: E-commerce, Financial Services, Money Remittances, Telecom and others, which principle include governmental payments like taxes and traffic fines, utilities, payments to multilevel marketing companies and several other subcategories. 
 Our adjusted net revenue mainly includes revenue from inactivity fees, interest on deposits on the overdraft provided to agents, cash and settlement services, advertising and few other line items. 
 We plan to continue to provide you with an activities sheet [ph] separately on a quarterly basis until we feel that this part of revenue becomes ongoing, recurring and stable. Please refer to our disclosure in the press release for more detailed description of what is included into each of the line items that we present. 
 Let me now explain why we changed our reporting. First of all, based on our ongoing discussions with investors and analysts, we believe that the new presentation will make our reports more transparent and will help investors to assess our position on the market in a better way. 
 Second, we no longer manage the company by business units. Starting from January 1, 2014, we completed our reorganization and the company is managed by functional leaders. 
 As a result, presentation of QIWI distributions and Visa QIWI Wallet segments separately will not make much sense from the management's point of view and also from the business point of view, because currently, the growth from QIWI distribution volumes are primarily driven by QIWI volatile parts, as we discussed previously. 
 Finally, as Sergey mentioned, the new presentation of the financial data is exactly the one that we use internally to manage our business. That's why we decided to bring the external disclosure in conformity with the management to use. 
 Moving to our operating metrics. Going forward, we plan to provide payment volumes by the same payment categories or payment verticals that I just mentioned. Payment volumes consist of the amounts paid by our consumers to the merchants included in each of those verticals, less internal volumes. 
 To avoid any confusion, I would like to stress that if you adapt the volumes of QIWI distribution, and Visa QIWI Wallet, which were separately presented in our press release with the first quarter 2013 results, then this amount will be higher than the consolidated volume for the first quarter 2013 that was presented today. The difference is the intra-group elimination. 
 And finally, we intend to continue to provide you with a number of kiosks and terminals and active  Visa QIWI Wallet accounts each quarter, as previously disclosed. 
 Now on to our first quarter results, beginning with revenue. Total adjusted net revenue increased 46% to RUB 1.9 billion, up from RUB 1.3 billion in the prior year. Adjusted net revenue, excluding inactivity fees, increased 42% compared to the prior year. Payment adjusted net revenue increased 51% to RUB 1.4 billion, up from RUB 900 million in the prior year. As Sergey mentioned, we have strong revenue growth contribution from our E-commerce, Financial Services and Money Remittances verticals, which grew 53%, 99% and 159%, respectively. Revenue performance was driven by solid payment volume growth and growth of net revenue yields. 
 Average payment net revenue yield was 0.91%, up 19 basis points from the prior year, and our total average net revenue yield was, 1.26%, up 23 basis points from the prior year. 
 Total average net revenue yield, excluding inactivity fees, was 1.17%, up 18 basis points from the prior year. 
 Other adjusted net revenue increased 34% to RUB 515 million, up from RUB 383 million in the prior year. 
 Net revenue growth from the quarter was driven mainly by growth in the interest income, cash and settlement services and inactivity fees, which amounted to RUB 127 million in Q1 compared to RUB 55 million in the prior year. 
 As Sergey mentioned earlier, other adjustment net revenue growth was partly offset by a decline of advertising revenue in the quarter by 46% to RUB 60 million in the first quarter 2014. 
 Moving to expenses. We generally continue to experience positive operating leverage in our business, which continues to drive our adjusted EBITDA and net profit growth in excess of our revenue growth. 
 Besides general operating leverage that we experienced, we have spent around RUB 70 million less of marketing expenses in the quarter than we initially planned, and this amount will likely be spent in the coming quarters. 
 Adjusted EBITDA increased 75% to RUB 1.1 billion, up from RUB 611 million in the prior year. The adjusted EBITDA margin was 56.9% compared with 47.6% in the prior year. The increase in adjusted EBITDA was primarily driven by revenue growth and continued operating leverage in the business. 
 Adjusted EBITDA margin, excluding inactivity fees, was 53.8% compared to 45.2% in the prior year. Adjusted net profit increased 72% to RUB 785 million, up from RUB 455 million in the prior year. Adjusted net profit, excluding inactivity fees net of tax, increased 66% compared to the prior year. 
 Finally, as you saw in our earnings release, following the determination of first quarter 2014 financial results, our Board of Directors recommended a dividend of 0.29 per share. We remain committed to distribute all excess cash to our shareholders in the form of dividend. 
 Though this time, we have reserved a certain amount of cash in the company for the potential investments that may take place in coming months. In case those investments materialize, we will announce them in due course. If not, we will distribute that reserves to our shareholders. 
 Now on to our guidance. Based on our strong first quarter results, we are raising the 2014 guidance provided in our last quarterly call, net revenue to increase by 24% to 26% and adjusted net profit to increase by 27% to 29% over 2013. 
 We are confident with this new guidance, given that the political and legislative landscape will not change any further and we will continue to update you on our progress during our second quarter earnings call. 
 With that, operator, please open up the call for questions. 
Operator: [Operator Instructions] Our first question today comes from Bob Napoli from William Blair. 
Robert Napoli: Again, it would be helpful to get that same data on a quarterly basis, at least for 2013. I know you give it to us each quarter, but it would be helpful if we got that ahead of time. Just a question on that data, if you would. I mean, I'm a little bit surprised by the growth of remittances, the rate of growth of remittances. Can you explain that business and maybe talk about the growth by sector that we should be looking for. Commerce -- E-commerce very strong revenue growth, but just in line, so if you could talk a little bit maybe about the sectors, Money Remittances, and also, the growth of E-commerce, it would be helpful. 
Sergey Solonin: Thank you for your question. This is Sergey. So for the Money Remittances, E-commerce, and Financial Services, we are generally quite new to the segment. So we're there maybe for 2 years only and our market share that we have is relatively really, really slow, so 2% from total market. And that's why we expected in this particular segment, we will have some growth in the future as well, as soon as we are organizing several campaigns this year in all these segments. 
Robert Napoli: This, the remittance business, I mean, is this being remittances at the kiosks? Are you receiving remittances? Are you -- is this all intra-Russia remittances? Is there a cross-border remittances? Are you partnering with anybody? 
Sergey Solonin: No. This is remittances that you can make at the kiosks or at your mobile phones towards any money remittance company that works in Russia. 
Robert Napoli: Okay, so it's all intra-Russia? 
Sergey Solonin: Not only Russia CIS. We also signed with Western Union, I think, recently, so we have all of them. The things that the sender will put money in the kiosks and then choose the system that he wants to remit with. 
Robert Napoli: Okay. And you expect that growth to, I mean, to continue with the kind of rates that you -- I mean, that you've seen, that you've shown to us here in the first quarter? 
Alexander Karavaev: Bob, it's Alexander. Look, we are not providing specific guidance for each of those segments though -- given that the market share is quite small. So we have basically just started few campaigns and few more coming throughout the year. So we expect our market share will be growing in that particular segment and the secular trends are quite good. I mean, the money remittances are growing quite fast in Russia in this area. So we really would expect quite different growth in that particular segment for a few years ahead. 
Robert Napoli: Okay. Last question for now, the Financial Services business, up 50% volume. Can you just give a -- what's driving the growth in Financial Services? Is it primarily bill payments? Is it new banking partners? What is driving -- what is that -- what is driving the growth? 
Alexander Karavaev: I think particularly this is, basically, many factors -- so generally, we are signing up new bank partners. And again, secular trends, so basically, the people. I mean, the total amount of outstanding consumer loans in Russia is growing and expect it to grow for, again, for probably few years more. And the people in the banks, our bank partners, started to promote us because we are one of the cheapest and more convenient channel for their consumers to repay the loans. So as you see, it was a number of factors: It's the extension of the number of banks. It's the extension of the number of users who are using the loan repayments through our network. And again, the expectations here would be that, probably, we are going to begin the share in that segment. We're still quite small. I mean, it's -- really we are just few percent of the total market, so we would really expect some gain in share and together with the secular trends in this segment. We would expect quite decent growth in financial institution verticals as well. 
Operator: Our next question today is coming from George Mihalos from Crédit Suisse. 
Georgios Mihalos: Sergey, just wanted to start off, sort of high-level, there are a lot of moving parts, a lot of things going on in the payments landscape in Russia. As it relates to the rollout of a national payment system, I just want to be clear, as per your relationship with Visa, right, that is an exclusive deal with Visa? And I'm also wondering, just given some of the more recent regulatory developments and some of the discussions that are going on there, is it sort of safe to assume that the integration of the QIWI Wallet into VisaNet, that may be getting pushed out a little bit or be a little bit on hold as some of the foreign payment systems figure out their plans in Russia? Any color you can provide there would be helpful. 
Sergey Solonin: Thank you, George, for the question. I would say that, yes, we are a little bit on hold right now because right now, within these few weeks, maybe there are negotiations on this big topics about the national payment system and the conditions on which our international payment systems will work in Russia. We are generally talking to Visa, and as well, we are talking to Russian government and to those who are close to the formation of national payment system, so it's not really clear. Everything is not really clear there. So I expect that due to today's announcement also, I hope that they will come to the final agreement and it will be beneficial for all the parties. So generally, I don't think that there is a target to close national payment systems in Russia. I don't see that. And we will continue to work with Visa. 
Georgios Mihalos: Okay, appreciate your perspective there. And then, Alexander, I'm not sure if you have it handy, but maybe just to dovetail on Bob's question. Do you happen to have the quarterly payment volume for 2013? 
Alexander Karavaev: Yes, I mean, look, we have just started this new disclosure, right, this is [indiscernible], George. And basically, yes, we plan to provide same kind of disclosure that we provided for Q1 2014 for the whole 2013. We just need some time to basically prepare that new type of presentation when we find all the data and put that through the full [ph] year. We'll plan to issue that new way of presentation with 2013 sometime throughout the year. So we understand the importance of that and are working on that. 
Georgios Mihalos: Okay, okay. And then, just looking at the margins, which were particularly strong here in the first quarter. I know you highlighted that there's $70 million, I think, of marketing expense that has been somewhat deferred, that will sort of be spread over the remainder of the year. Were there any other investment push-outs or anything worth kind of calling out, as we think through the margins over the next 3 quarters of the year? 
Alexander Karavaev: Okay, so it's been -- I've been looking about RUB 70 million, not dollars. Apart of that, no. I mean, Q1 was basically well as [ph] from the standpoint of margins and how we plan that. So we are probably just a little bit behind in hiring new personnel, in [indiscernible] providence [ph]. The development and that also contributed a certain amount of actual savings on the cost side and increased the margin, although not that significant. So generally speaking, the majority of the extension of the margin is due to the scale effect. 
Operator: Our next question today is coming from Matt Lipton from Autonomous. 
Matthew Lipton: My question is just on the wallet user growth that accelerated about 200,000 users from the fourth quarter and a little bit below the run rate and then in the fourth quarter, there was also some slowing. So I guess, firstly, is there any relation here to the new registration requirements? And if not, are you just seeing the slowing result of a healthier user base, Sergey, meaning, higher-quality customers just sticking around? 
Alexander Karavaev: Okay, so thank you for your patience. This is Alexander. Yes. I mean this piece of acquiring E-commerce into our system is already slowing down. I mean, we already have quite a substantial number of users. And basically, I would stress that just a whole -- the annual number is not the only kind of key parameter that we are monitoring, so we're also looking into the engagement activities of the users. Basically, we are monitoring how often they usually use the QIWI Wallet like -- I mean, once a week, once a month and so on, and that engagement in growing. Coming back to the newcomers, yes, indeed, how we see the situation, they are probably close to saturation from the standpoint of organic growth, looking at organic. But historically, we never ever had any specific marketing campaigns or promotion campaigns to attract new users. And that's why we did the full reorganization on the company starting from the summer of last year to be far substantial with the marketing department and developing heavy marketing programs to address all those segments where we believe we can get new extra users. And that's [indiscernible] and quite substantial part of that marketing plan is being implemented now and is planned to be implemented in 2014, but our estimation is that we really might expect some maturation in the inflow from newcomers throughout the -- I mean, we will update you on that during the second quarter earnings call and further on. 
Matthew Lipton: Would you say your competitor -- your largest competitor in the e-wallet space has gotten more aggressive or less aggressive, say, over the last 6 months? And that's it for me. 
Alexander Karavaev: No, I wouldn't say so. I think that we've been growing faster than the competitors. Again, the problem here is that none of those competitors are issuing the data in the format and level of detail that we are doing. So it's very difficult to monitor. But at least based on the financial data, all the competitors that we have, we believe that we've been gaining the market share from those competitors for the last several months. 
Operator: Our next question today is coming from Nick Robinson from Renaissance Capital. 
Nick Robinson: Just 2 questions please. Firstly, on the new legislation that came in last week. There was a number of press stories in the days that followed, suggesting there was a bit of confusion in how certain providers were implementing the law. And also, one thing that was mentioned was that the government agencies, which need to support the faster regulations have simplified regulation -- registration process are not really in the position to do so and won't be able to confirm the data like the insurance number until something like the 1st of November. Is that going to be an issue for you? And if not, do you see any other issues in implementing that new law? And I'll follow up with a second question after. 
Alexander Karavaev: Yes, okay. Nick, thank you for your question. Based on our interpretation on this -- of that new law, we have already changed the user interface of our product, both on the kiosk and Visa QIWI Wallet. So we are on basically at each of the transactions that is above the limits stated in the law, we are asking the person to identify itself by any of those means, so [indiscernible] person needs to provide a number of passport or taxpayer number or something. And basically, we do not -- at least, do not now see any problems, so we believe that we are in person -- compliance with the law. Though the interpretation obviously may change, I mean, as soon as all the market participants will start to develop kind of their process and their interface. And in that, let's see how the program works. As of now, we do not really see any substantial problems in compliance with that law. 
Nick Robinson: Okay, great. Understood. And then, just a second question. In terms of the marketing activities you've got planned for 2014, you mentioned obviously, we should expect to see some reacceleration of user numbers for the wallet. Are you also targeting any particular segments within your product segments or should we be expecting a focus on E-commerce and Money Remittances, et cetera? 
Sergey Solonin: Nick, this is Sergey. Yes, we -- the most of our marketing activities are around new wallet users. And specifically, we're targeting money remittances, we're targeting financial services and e-commerce. So these are the major areas where we will market our products. 
Operator: Our next question today is coming from Dmitry Trembovolsky from Goldman Sachs. 
Dmitry Trembovolsky: It's Dmitry. A couple of things that I wanted to ask you. First of all, am I right to understand that this EBITDA margin that we have seen, which is above 50%, is kind of more of a new normal for you because, obviously, of larger volumes? Or I heard that this 50 million cost that you potentially can spend in the next few quarters, but other than that, shall we assume, I mean, that these numbers are sustainable? And I will follow-up with more questions later on. 
Alexander Karavaev: Okay, yes. Based on all those, yes, we believe that even the scale effect, the 50-plus EBITDA margin, should be normal for our business going forward. 
Dmitry Trembovolsky: Understood. And the increasing yield that we have seen, I mean, we pretty much every quarter have certain increase in yield. Can we just talk a bit more about that? I understand some of this is obviously change in mix, which we haven't seen in the past. Were there any other reasons for this increase in yield and where do you think it could ultimately settle? 
Alexander Karavaev: Basically, a number of reasons. So first of all, we still continue to gain from additional net revenue yield use of product mix, and now you would not see it for the, kind of, whole company, but even within all those categories, those transactions that usually bring higher yields are growing faster than those with the lower yield. Apart from that, especially in telecom, if you know that last year, we introduced a consumer fee of RUB 25 so each payment that -- just increased a little bit of the net revenue yield in telecom. And on top of that, we reduced just a little bit starting from March 2014 of funding costs to around 20 basis points. So for Q1, that effect was not that large, so it's only just one month of the quarter. So those are probably 3 major effects. Going forward, again, as we mentioned few times in our previous conference call, net revenue yield is pretty under control, so we can manage that pretty heavily. So we have really a lot of levers to pull this year. And again, our position is now that we are still under-monetized, and likely we will not be heavily monetizing the users this year. Again, as Sergey mentioned, the key of our marketing campaign would be basically attracting new users. Even more, we may even be reducing the prices a little bit in certain segments, just to attract new users. That's the part, let's say, of our marketing activities. Taking that all together, going forward, we would not really expect any substantial growth in the net revenue yield. We will try to keep that more or less stable and basically try to get more users from the change. 
Dmitry Trembovolsky: Understood. Okay, and just looking at the volume -- of course, I mean, I'm not -- I don't have a particular good disclosure on the first quarter overall volumes. You said that, I mean, we can't really just sum it up, because they were obviously intra-group transactions. But if we look at the first quarter last year, first quarter this year, it looks like total volume per wallet hasn't really changed. First of all, can you confirm that this is the right calculation? And second, is there anything that you guys plan to do to address that? Because I guess, you want the volume per wallet to get growing, right? 
Alexander Karavaev: Yes. I mean, look, we have not really disclosed the wallet volumes. We are not disclosing now the wallets [indiscernible] separately because we do not believe that this would be an appropriate disclosure. Generally speaking, we are experiencing the growth of the volume per wallet and it had continue to do in Q1 2014, though that growth has already slowed down. As we discussed, we're approaching some separation point from this view. Again, going forward, the substantial increase in volumes per wallet is not yet our goal. First of all, I would like to get more new consumers, and then, we'll work on their engagement. Actually, it's increasing the volume per wallet, so this probably helps. 
Dmitry Trembovolsky: So first of all, users, and then kind of more volumes for these users. And can you -- in this context, can you discuss first your JV with the mobile operator, which, I think, was kind of forgotten so far at the conference call? And then, separately, are there any other partnerships that you want to mention, as a tool to attract new users? Maybe that's part of the marketing plan you mentioned, I don't know. 
Sergey Solonin: Well, as for the mobile operator, we are still in negotiations and we have a few topics, because of the situation with international payment systems that little bit delayed our talks, so hopefully, very soon, we will be able to announce something. What was the second question? 
Dmitry Trembovolsky: Sorry, on the mobile operator, you said there is nothing yet settled and you may announce something later, but there is no timing, right, which you can discuss now? 
Sergey Solonin: Well, yes, I wouldn't be giving you exact time. And for the other partnerships, we are reviewing several right now, but I cannot disclose it as well. 
Dmitry Trembovolsky: Okay. And, can you then discuss this marketing plan, so what exactly do you mean by that? What are you going to do to make sure that users keep growing? 
Sergey Solonin: Well, it's mostly promotion contained in specific segments. So the marketing, for example, under the promotion in the banks, so that our financial segments and our payments volume will be growing. There's a few promotional campaigns that are focused on cross-selling the product. We'll also do special campaigns with money remittances and with the segments of foreigners who are traveling or working in Russia, so we are promoting special services for them. We will be working with telecom companies as well on marketing campaigns. So mostly, we will try to do many different activities. For example, we will try new activities in gaining industry, so we will try to promote wallets for the gamers and give additional services for the companies that are involved in gaming. So that's just a few. 
Dmitry Trembovolsky: Understood. And this has already started or is this going to start? 
Sergey Solonin: Well, some of it started. We just finished our new website and this was the trigger to start attracting consumers -- new consumers to new website and new application. A little delay though, with additional lines, so that we needed to change a little bit. 
Operator: Our next question today is coming from Alexander Vangonivich [ph] from [indiscernible] Capital. 
Unknown Analyst: Actually, I have a couple of questions. First, with regards to your results in the first quarter. What are the main reasons in your mind for the outperformance versus what you expected before, because as far as I understand, strong first quarter is one of the reasons why you upgraded your guidance. So probably, specifically, in which segments you've updated your expectations, which you made approximately a quarter ago? And second question is actually, specifically on the E-commerce payment volume growth, so I see you've shown only 19% growth of that segments, in terms of payment volume. So how would you estimate your payment volume versus the market growth for the respective quarter? Do you feel that you probably are growing slightly slower than the market here? Because like 19% looks to me quite a conservative figure for the quarterly growth for the E-commerce? 
Alexander Karavaev: Okay, thank you. First of all, on the issue on the guidance. I mean, look, we've been issuing guidance for 2014, just slightly more than a month ago, we were not having a full clarity on, I mean, how that new law, antiterrorist law, would evolve and how the situation with national appointment system would result. And basically, we were not clear about what the actually the exact consequences from the change in the landscape. That's why we will continually give you further guidance, as we said. For now, we see that some of those uncertainties have already been resolved. That's why we basically were in a position to raise the guidance. Though as we just discussed with yield, this year, how the whole situation with national payment systems will affect the landscape and probably the year, the interpretation of that antiterrorist law should change a little bit the user interface of our strategy. So that's why, though we raised the guidance, we believe that it is [indiscernible]. So we -- actually we've been providing guidance only in the case we're confident that we have already changed -- the chances to meet that. And hopefully, throughout the year, on our next call after we finished second quarter and third quarter, we'll be in a better position to calibrate the guidance a little bit more. So on this quarter, I mean, look, we think that these are growing in line with the market. I mean, both ranges percentage is probably below the total market goal of e-commerce. But I mean, generally, what we would see in the market this year, the E-commerce mainly consist of physical goods. And in our first [ph] call, physical goods -- I mean, online sales of physical goods is just a tiny portion here. That is the segment that is yet to be affected for the year [ph]. These promotions largely represented by the gaming, by all of virtual groups, music, social networks and so on. And how we see the markets, those segments are growing around the same pace as our volume. Again, going forward, we believe that we certainly will not be losing the market share. As soon as we launch our marketing campaigns, we're likely going to be increasing our share a little bit, especially in those segments which we target like gaming market. So -- but again, we have to update you, I mean, what's going to be happening in those segments during our second quarter and third quarter conference calls. 
Unknown Analyst: Okay, just 2 follow-ups. So on E-commerce, do you plan actually to be more active, in terms of the physical growth or you want to concentrate on gaming in the segments where you're traditionally strong? And regarding the first question, do I understand it correctly that your new guidance you feel much more confident with your new guidance versus the previous one 
Alexander Karavaev: We were also confident with the previous one. It was just very conservative quarter. It was, really, we provided historically on the very conservative basis. I mean, we're sure that we're going to be reaching those numbers. Though few potential upsides to the guidance were not included, of course. But we needed to see how the situation in the total -- I mean, legislation and consumer landscapes affect growth. So we're also confident with this guidance and we also see some potential upside to the new guidance, but through [ph] the years for us to make a different judgment on that. We just need to analyze and to make our own assessment of how the national payment systems law will affect the landscape and if we can gain some share there, probably by way of partnerships or [indiscernible],  if all those potential upsides will materialize, so we believe we will be getting some shareable amount, 2 years. I mean on e-commerce, again, I mean our both physical growth and gaming markets are on our priorities list. The difference here would be that physical growth, the market is probably not mature enough to be heavily affect by online payment systems, so we believe that can be our focus probably next year and afterwards. Gaming market is already mature enough, from that point of view to give you effect. And gaming sub-segments within E-commerce is one of the key focuses for this year. 
Operator: [Operator Instructions] Our next question is a follow-up from Bob Napoli from William Blair. 
Robert Napoli: Just a quick question. Do you feel like, and can you tell from looking at your business if the Russian slowdown in the Russian economy has affected your business or is that with the secular growth of your market, do you feel that -- are you not able to see any trends economically driven? 
Sergey Solonin: Well, not on the payment side. On the payments, we see all the same trends that we've had before. On the advertising side, we see some slowdown, definitely a slowdown, and we understand that we will be recovering within some time. It will take some time to recover. 
Robert Napoli: And then, just on the dividend and retaining capital for investment opportunities, is this -- are you looking at M&A opportunities or are you looking at investments and organic growth? What is the -- can you help a little bit there? 
Alexander Karavaev: We're basically looking for both. We have basically a few initiatives on the table, both on the M&A side and as well in organic investments. Though, I mean, we are usually bound by NDA agreements with all those guys, so we cannot really disclose for now when and if that's going to happen to us. But again, I mean, if those things are not much realized, we will just give the disclosure to the shareholders. 
Robert Napoli: On the M&A side, what type of things make sense? Is it a technology type of acquisition or distribution related? What types of M&A would do interest you or makes sense? 
Sergey Solonin: Mostly about technology right now, but these are small ones that we are looking at right now. There is one bigger potential and it is on the distribution side. 
Operator: There are no further questions at this time. I'd like to turn the floor back over to management for any further or closing comments. 
Sergey Solonin: So now we've had another very good quarter, and I'm looking forward and see that we have even more opportunities in 2014 than we thought. Hopefully, this geopolitical situation will be resolved somehow soon, and looking forward to hear you in the next call. Thank you very much. 
Operator: Thank you. That does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful time. We thank you for your participation today.